Operator: Good day everyone and welcome to the Jack in the Box Inc., first quarter 2009 earnings conference call. Today’s call is being broadcast live over the internet. A replay of the call will be available on the Jack in the Box website starting today. (Operator Instructions) At this time for opening remarks and introductions, I would like to turn the call over to Carol DiRaimo, Vice President of Investor Relations and Corporate Communications for Jack in the Box. Please go ahead.
Carol DiRaimo: Thank you Stacy and good morning everyone. Joining me on the call today are Chairman and CEO Linda Lang; our President and Chief Operating Officer, Paul Schultz; and Executive Vice President and CFO, Jerry Rebel. During this morning’s session, we’ll review the company’s operating results for the first quarter fiscal 2009 and discuss our guidance for the reminder of the year. Following today’s presentation we’ll take questions from the financial community. Please be advised that during the course of our presentation and our question-and-answer session today, we may make forward-looking statements that reflect management’s expectations for the future which are based on current information. Actual results may differ materially from these expectations based on risks to the business. The Safe Harbor statement in yesterday’s news release is considered a part of this conference call. Material risk factors as well as information relating to company operation are detailed in our most recent 10-K, 10-Q and other public documents filed with the SEC. These documents are available in the investor section of our website at www.jackinthebox.com. Our second ends on April 12 and we tentatively expect to release earnings the week of May 11. As a reminder we recently enhanced the Investor’s section of our website. If you’ve not already done so, please sign up there for email alerts, so that you’ll be notified of our news releases, presentations and regulatory filing. With that, I’ll turn the call over to Linda.
Linda Lang: Thank you, Carol. Good morning. Overall our first quarter performance included some bright spots. Same-store sales for Jack in the Box company restaurants were positive, increasing 1.7% for the quarter. We were pleased about our results in California, where we saw a positive same-store sales in the second consecutive quarter, as well as positive same-store sales in Texas and Las Vegas. In addition, results in our Phoenix market although still negative showed improvements from last quarter. We attribute a portion of the positive sales results in Q1 to the launch of our Teriyaki Bowls, which were introduced in our Western U.S. market in October. We saw a benefit to our sales in those markets and believe this new platform provides opportunities for several different line extensions. Teriyaki Bowls were introduced to the rest of our system on January 29. To address our customers who are being pinched by the economy, in January we offered a limited time promotion, the Jumbo Deal, which featured a Jumbo Jack burger, two tacos and a small order of fries for 299, a great value for our guest. As we discussed on our last call, we raised prices at company locations by approximately 2.5% in November. As you may recall we indicated previously that our price increases are designed to improve profits and not necessarily to boost sales by the nominal amount of the price increase. With that in mind, overall price was up 1.9% versus last year. While we believe there maybe additional price opportunities, we will continue to be cautious about how aggressively we raised prices, given the economy and rising unemployment. In addition to the completion of the system wide roll out of Teriyaki Bowls, later this quarter we will launch another new platform with the introduction of Mini Sirloin Burgers. This premium product which rivals the quality and taste of similar items offered by casual dining restaurants features a trio of 100% sirloin patties topped with American cheese, grilled onions and ketchup served on a bakery-style bun, inspired by the flavor of a Hawaiian sweet roll. Our investment and training has contributed to a steady improvement in guest service scores. We’re reinforcing our employee training efforts on six tenants of guest service, hot food, a clean environment, friendly employees, order accuracy, a house of free experience and speeder service. These initiatives are resulting in a better dinning experience for our guests, who gave our restaurants noticeably higher satisfaction scores in the first quarter. We continue to execute our re-franchising strategy during the quarter despite the difficult credit market, which Jerry will discuss in more detail in his comments. We ended the quarter with 39% of the Jack in the Box system being franchised and our re-image program remains on track with more than 50% of the Jack in the Box system having completed exterior enhancement, including 924 restaurants now featuring all interior and exterior elements of the program. As for Qdoba economic pressures continue to impact our performance as system-wide same-store sales declined by 1.1% versus an increase of 4.5% last year. Qdoba has been cautious about raising prices given the environment and took a 1.7% price increase in October. Last week Qdoba launched a bundle meal promotion in about 200 company and franchised restaurant that offers any four, five chicken on trays with a small portion of chips and salsa and a regular fountain beverage for $6.99. While this is a lower price point than if the items were ordered all-a-cart [Ph] it still has a relatively low food cost. As an example, if a guest trades from a regularly priced stake-on-tray to a chicken on tray bundled meal, our margins increase. On the growth front, 16 new Jack in the Box restaurants opened during the first quarter including 12 company locations. A franchisee opened the first restaurant in Colorado Springs, which set an opening week record with sales of more than $130,000. The Qdoba system opened 17 locations during the quarter and remains on track to open 60 to 80 new restaurants this year. Before I turn the call over to Jerry, I wanted to talk for a minute about our new brand campaign, which launched on Super Bowl Sunday with a regional ad showing Jack being seriously injured after getting hit by a bus. The campaign is designed to reengage our core customer and promote our customers ability to order anything on the menu, anytime of day. In addition to traditional media outlets like local TV, national cable, radio and Billboard, we are utilizing viral marketing to connect with our target audience. Although, our bus spot aired only one fun television it’s been viewed more than one million times on Yahoo and YouTube. Combined with viral videos and other ads related to the campaign, the videos have been viewed online more than three million time and our latest Ad, which began airing Monday, Jack is now out of the surgery, thankfully and unfortunately in a coma. All I can say regarding Jack’s recovery is stay tuned. So, in summary we continue to execute the four major initiatives of our long term strategic plan and believe we are performing well in a difficult economic environment. Now, I’ll turn the call over to Jerry, for a closer look at the financial side of our business. Jerry.
Jerry Rebel: Well, thank you Linda and good morning everyone. Diluted EPS from continuing operation of $0.49 per share was below our guidance of $0.50 to $0.55 due to two primary factors. Restaurant operating margin was a little shy of our forecast and SG&A expenses were a little higher. Restaurant operating margin was 14.6% of sales in the first quarter compared with 17.1% in the same quarter last year, versus our guidance of 15% to 15.5%. Since the press release covered the factors that contributed to the decrease in margins versus prior year, which by-and-large we’re expected, I will talk about the mix versus guidance. Food and packaging cost came in at the high-end of our guidance, up nearly 8% overall. Remaining short fall versus guidance was due primarily to sales de-leverage at Qdoba and modest increases in utilities and labor at Jack in the Box and as Linda mentioned, we believe that our investments in the labor and training contributed to higher guest satisfaction scores in the first quarter. Importantly, restaurant operating margin is expected to improve in the balance of the fiscal year, due to lower food cost inflation and a decline in utility cost and the rolling off of above current market forward positions on cheese and natural gas taken in the fourth quarter of last year. With regards to SG&A, mark-to-market adjustments on the cash surrender value of insurance products supporting our non-qualified retirement plans were greater than we expected during the quarter. These adjustments are non-cash and have no impact on the future funding of these plans. On re-franchising, we continue to execute on our plan in spite of the difficult credit markets. We sold 29 company operators Jack in the Box restaurants to franchisees and three transactions with gains totaling $18.4 million in the first quarter, compared with $15.3 million in the year-ago quarter from the sale of 28 restaurants; per unit gains for the quarter averaged $633,000 versus $584,000 in Q1 last year. The restaurants re-franchised during the quarter were located in Texas and Southern and Central California including the entire Santa Barbara market. The company provided $5.3 million in financing during the quarter on two of the three deals and now has $6.3 million of outstanding notes receivable related to the re-franchising transactions, following the repayment of $19 million by franchisees during the quarter. Although, we increased the number of new Jack in the Box restaurants expected to open in the year, we continue to expect capital expenditures in fiscal year 2009 to be between $175 million and $185 million. For the 2009 CapEx total, approximately $70 million related to new Jack in the Box and Qdoba restaurants, compared to approximately $51 million for new restaurants last year. Before I review our guidance for the second quarter and fiscal 2009, I’d like to provide an update to our commodity cost outlook for the remainder of the year. We expect food cost moderation over the remainder of the year with full-year increase, expected to be in the 3% to 4% range, which should generate year-over-year increases in restaurant operating margin over the second half of fiscal 2009. Now, let’s take a look at some of our major commodity purchases to help fill this out for you. On beef, overall beef cost were up 20% in Q1 versus a year ago. Beef 50s were the major driver being at 44% in the quarter and although lean for meat started the quarter well above last year they felt back and ended the quarter below year ago levels. Going forward, we anticipate beef cost increases to moderate each quarter, driven primarily by a year-over-year reduction in import 90s due to a higher US dollar versus last year and reduced world demand. We have 100% of our import needs covered through May and currently 50s are running approximately $0.75 of pound versus $0.65 last year and 90s are approximately $1.30 pound versus $1.45 last year. On chicken, we have fixed price contracts for 100% of our needs through March of 2010 and chicken costs for the year are projected to be flat versus a year ago. On bakery, we have fixed price contracts in place for 65% of our bakery needs. Contracts for 10% of our needs expire in July, with 25% floating as we continue contract negotiations with current and alternative supplier. Our current thinking for bakery is up 7% for the year, rolling over a 1.8% increase in 2008. Our cheese costs were 5% lower in Q1 versus a year-ago, compared to the year-over-year market decline of 15% due to forward position in place from the prior year. We are expecting our cheese costs to be 12% lower for the full year as the forward position roll off. Now lets move on to our guidance for the balance of the year. We expect same-store sales for Jack in the Box company restaurants to range from flat to plus 2% for both the second quarter and the full year. We anticipate system wide same store sales for Qdoba to be flat down 2%, both in the second quarter and the full year. Restaurants operating margin for the fiscal year is expected to be approximately 16%, similar to fiscal 2008 with food costs expected to increase 3% to 4%, offset by decrease in utility costs, the impact of price increases and the rolling off of the above current market forward positions that we just discussed. We have not assumed an improvement in the financial markets, so we’ve revised our full year SG&A guidance to be in the mid 11% range. Similarly, we expect our tax rate for the full year to be approximately 40%, as compared to last year’s full year tax rate of 37.3%. Gains on the expected sales are 120 to 140 Jack in the Box restaurants. The franchisees are expected to range from $60 million to $70 million, with $80 million to $90 million in cash proceeds resulting from the sales and are dependent on available franchisee financing. We continue to expect diluted earnings per share from continuing operations to range from $2 to $2.20. Now I’d like to turn the call back over to Linda. Linda.
Linda Lang: Alright, thank you Jerry. We’ll go ahead and take your questions at this time.
Operator: We are now ready to begin the question-and-answer session. (Operator Instructions) Our first question comes from Joe Buckley, Bank of America.
Steven Bayardelle – Bank of America : Hi, it’s actually Steven Bayardelle for Joe. Could you speak further on second quarter margins and I guess is all of the improvement weighted in the third and fourth and then I guess I think you’re running over 3% pricing as you look at the rest of the year and kind of those utility and food costs coming down, how do you see pricing?
Jerry Rebel: This is Jerry. Steve, first of all we don’t think we are running 3% over on pricing. We took a 2.5% price increase in the first quarter and the effective impact on our sales was 1.9% in the quarter and we’ve not yet indicated if we intend to take further price or not, although we always look at that. With respect to the restaurant operating margin I would expect sequential improvement in restaurant operating margin in the second quarter versus the first quarter, but we have not provided guidance on our second quarter. If you look at, maybe I’ll just give you a bit more color on some of these forward positions. We had above current market forward position on both natural gas and cheese that begin to roll off at the end of March or near the end of our second quarter and so we would expect to see the improvement in margin accelerate in the third and fourth quarter; again although, and we do expect some sequential quarter-to-quarter improvement in Q2. Does that help?
Steven Bayardelle – Bank of America : Great, thank you.
Operator: Our next question comes from Chris O'Cull of Suntrust.
Chris O'Cull – Suntrust: Thanks guys.
Linda Lang: Good morning Chris.
Chris O'Cull – Suntrust: Good morning. Jerry my question relates to margin and guidance as well. I believe you mentioned beef costs were inline with expectations for the first quarter. So, what’s food and packaging cost and I may have missed this in your presentation part, but which of the food and packaging cost surprised you during the quarter?
Jerry Rebel: Well, we were a little higher on produce than what we had have expected due to some weather related issues, as well as a slight miss on the hoping lot.
Chris O'Cull – Suntrust: Okay and just as a follow-up, I mean I think you also mentioned labor hours were increased during the quarter, which led to higher labor costs, is that correct?
Jerry Rebel: It was primarily training related hours Chris to reinforce our guest service message and Paul, you want to…
Paul Schultz: Hi Chris, this is Paul. We did a one time investment of labor to rollout a new guest service module for our computer based training to all employees and we think based upon the results that we are seeing from that and our guest service scores that that was a very wise investment.
Operator: Our next question comes from Larry Miller of RBC.
Larry Miller – RBC: Yes, first a follow-up and then a question. Maybe it would help if you put some parameters on how much cheese and natural gas is hurt in terms of basis points in the quarter, in the first quarter Jerry? Then secondly, was there any pressure on the margin from the value promotion that you guys are running and generally can you speak to what you’re seeing in terms of trade down by the consumer and how that Mini product that you’re rolling out might be priced and how well it’s tested in terms of margins? Thanks.
Linda Lang: Yes, let me talk about the Mini Sirloin Burger launch, that we’re launched in the end of this quarter. It’s positioned as a premium product, so it’s not a discount product or a value price product. Although, based on our research and the results in our market test, the consumers do see this as a great value because of the quality of the product. In terms of margin, it helped our margin with trades from the regular burgers, the Sirloin Burgers. If there is a trade from the full-size Sirloin Burgers to the Mini Burgers, it’s actually an improvement in terms of our margin.
Paul Schultz: Then Larry with respect to the margin follow on, the way that I would look at this, if you look at the labor investment that we had as well as the utilities, that impacted us versus what we had expected by in the 20 to 30 basis point range in the quarter and then with respect to the cheese, rather than give you a basis point for cheese, let me just tell you what we had. We had about 50% of our cheese needs covered through March and again remember, we entered into this when cheese prices were rising. We had about 50% covered through March at about $1.69 a pound and what we’re seeing now is our cheese is around $1.20 plus or minus a few pennies. So, we didn’t get the significant reduction in our overall cheese costs as result of our forward position and I also mentioned on the Qdoba de-leverage and what I mentioned there is, Qdoba is typically slightly accretive to our overall restaurant operating margin and due to their sales mix, as well as the higher cost in Manhattan coupled with the decline in market in Manhattan with all layoffs there, Qdoba was actually a slight drag on our restaurant operating margin in the quarter also.
Operator: Our next question comes from Jeff Omohundro of Wachovia.
Jeff Omohundro - Wachovia: Thanks. Just a couple of questions around mix; I guess first broadly speaking, how pleased are you around the Barbell’s menu strategy in terms of where you’re positioned now in terms of mix. Does one end or the other need to be tweaked some and then second, looking at the Jumbo Deal and the no beverage component of that offering, how has the beverage mix associated with the Jumbo Deal tracked and do you find people selecting some of your premium alternatives, paring with that offering? Thanks.
Linda Lang: I would say the Barbell strategy is working very well for us. If you look at the results in California, moving to positive now for two consecutive quarters, it was really started with the smoothie launch that worked very well for us; we then rolled out Teriyaki Bowls, which was another premium product and then we finished that in January. We’re typically reducing more promotional activity in our sector. We finished with the 2.99 Jumbo Deal which was very popular. It had a very good mix, but we had an employee incentive behind that to really add on of beverage. Now, it’s probably not as high as what I would have liked it. We’ve and seen in terms of beverage, but we did get incremental beverage sales on that Jumbo Deal. So I can say, that would be one that would be in our arsenal for the future, when we feel like we need to go out there and drive some traffic and respond to those consumers that are really looking for a little bit more value versus going to a $0.99 product. Did that help Jeff?
Jeff Omohundro - Wachovia: Yes, very much. Thank you.
Operator: Our next question comes from Matt Difrisco of Oppenheimer.
Matt Difrisco - Oppenheimer: Thank you. I’m just following onto the Qdoba de-leverage. I’m also trying to understand how potentially those 22 franchise locations, what do they do as far as to the mix of margins both for Qdoba the brand and also the company in aggregate, is that a product of laying down the margins as well incrementally year-over-year?
Paul Schultz: Matt, a couple of things, that wasn’t a significant impact. The restaurants were quite throughout the quarter, so it didn’t have a full quarter impact there. These restaurants are in market that we think were our long term strategic growth plans for Qdoba and these restaurants like virtually all of the restaurants across our system have been impacted by higher unemployment. So, to that extent they would have been a drag on margin, but nothing more dramatic than any of the other market would have been. We are the biggest drivers from Manhattan. We have one store right across the street from the building normally known as Lehman, which used to realize traffic from that building which is no longer there. Manhattan has just been a bigger drag.
Operator: Our next question comes from Keith Siegner of Credit Suisse.
Keith Siegner - Credit Suisse: Thanks. I’d like to ask a follow-up question actually on those acquisitions. I mean the purchase price looks pretty attractive, especially if the margin weren’t low enough that they weren’t a drag in the quarter? Could this transaction be accretive to the full year EPS once you have them in for the rest of the year?
Paul Schultz: I think it’s important to know that Qdoba represents about 5% of our overall earnings and we’re looking at an additional 22 restaurants. I wouldn’t suspect a significant impact from these restaurants one way or another.
Keith Siegner - Credit Suisse: Okay, then one last question then. You maintained the full year EPS guidance range, can you just talk a little bit about like what the differences are between the low end and the high end; like what would have to happen to get you to the high end versus the low end? Thanks.
Jerry Rebel: A couple of things; one would be on the comps due to the economic condition and uncertainty as we have role of rising unemployment and the other piece would be on the credit markets related to our re-franchising strategy.
Operator: Our next question comes from Steve West of Stifel Nicolaus.
Steve West - Stifel Nicolaus: Hey guys, real quick, can you talk about with respect to the same store sales with Jack in the Box in the quarter, how are they doing? Are they still tracking with what you saw in the first quarter? I mean we saw a pretty good improvement, especially in the West Coast market, are you seeing that trend continue and does that give you pretty good confidence for the rest of the year there?
Linda Lang: Yes, we don’t really talk about Q2 sales to-date. What I can tell you is that we did factor in our performance this last four weeks into our guidance and weather was not our friend in the last four weeks, especially in some of our major market.
Steve West - Stifel Nicolaus: Okay, thanks.
Operator: Our next question comes from Chris O’Cull of Suntrust.
Chris O’Cull – Suntrust: Yes guys. Just another follow-up question; Jerry, if you back out the loss on the insurance products and the impairment costs that were included in SG&A for the quarter, and just annualize that dollar amount for the first quarter, it would imply SG&A less lower than what your full year guidance is? Is that true and if so, why should SG&A grow in dollars through the course of ’09, especially in light of the fact that you guys are accelerating the re-franchising?
Jerry Rebel: A couple of things Chris; one is, there were within the quarters some adjustments to incentive comp and our performance based that we restricted stock, which we would not expect to continue going forward. Having said that, I think other than our mark-to-market issues with respect to the SG&A, we are very happy with the progress that we’re making and continue to make on controlling G&A cost.
Chris O’Cull – Suntrust: Okay great. Thanks.
Operator: Our final question comes from Matthew Difrisco of Oppenheimer Funds.
Matthew Difrisco - Oppenheimer: Hi. Just actually a follow-up on that question also where you keep saying New York was a weak market, but in our checks it doesn’t seem like they are doing the bundling promotion and I think I even caught one of the stores where the New Jersey developer came into New York to help launch a couple of new I guess service initiatives or something it looks like he was trying to work on at the store, but he said that New York was not targeted or is planned to be targeted for the bundling. If this is having the comp problems, is this something that maybe we could look for as incremental in months ahead?
Linda Lang: Correct, actually the bundled meal at Qdoba is currently in test. So, we’re only two weeks in and we have it in 200 company and franchise location. So, we certainly would based on the results of that consider rolling that to Manhattan, probably not at the $6.99 price point, but it is certainly something that we would look to potentially expand into Manhattan.
Operator: At this time, I show no further questions.
Linda Lang: Great, thank you very much.
Operator: This concludes today’s presentation. Thank you for you participation. You may now disconnect.